Operator: Greetings and welcome to the Oshkosh Corporation Reports 2016 First Quarter Results. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Pat Davidson, Vice President of Investor Relations. Thank you, sir. You may begin.
Patrick N. Davidson - Vice President-Investor Relations: Good morning, and thanks for joining us. Earlier today, we published our first quarter 2016 results. A copy of the release is available on our website at oshkoshcorporation.com. Today's call is being webcast and is accompanied by a slide presentation, which includes a reconciliation of non-GAAP to GAAP financial measures that we will use during this call, and it's also available on our website. The audio replay and slide presentation will be available on our website for approximately 12 months. Please refer now to slide two of that presentation. Our remarks that follow, including answers to your questions, include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different from those expressed or implied by such forward-looking statements. These risks include, among others, matters that we have described in our Form 8-K filed with the SEC this morning and other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. All references on this call to a quarter or a year are to our fiscal quarter or fiscal year unless stated otherwise. Our presenters today include Wilson Jones, President and Chief Executive Officer, and Dave Sagehorn, Executive Vice President and Chief Financial Officer. Please turn to slide three. And I'll turn it over to you, Wilson.
Wilson R. Jones - Chief Executive Officer: Thank you, Pat. Good morning, everyone. Today, we announced first quarter earnings per share of $0.19. I would characterize our first quarter results as being largely in line with what we expected, although the reinstatement of the R&D tax credit provided a little extra benefit that we hadn't counted on. While the first fiscal quarter is typically our seasonally slowest quarter, we still made progress on a number of fronts. The fire & emergency segment achieved another quarter of improved results compared to the prior year. They also booked another quarter of strong orders. And the defense segment rebounded after a trough year in 2015 to also report better results compared to the prior year. We're also pleased that our defense segment was given the green light to begin work again on the JLTV program. As you may already know, our JLTV award was protested by one of the other bidders. And just before the GAO was expected to announce its decision on the protest in mid-December, the protester changed his approach and filed suit against the government with the Court of Federal Claims protesting the contract award to us. While the court has not yet ruled on the JLTV suit or the request for a preliminary injunction to again stop work on the program, we remain confident that the court will not overturn the U.S. Army's decision to award this critical program to Oshkosh. One area where we didn't make as much progress in the quarter as we had expected was securing the large international M-ATV contract that we've been pursuing for some time. I was in the Middle East last week meeting with various government officials and was assured that there is strong operational need for the M-ATVs. I also received positive comments regarding the durability, survivability and overall performance of our M-ATVs in-theater. However, the contract has not yet been signed and is taking longer than we originally anticipated. We believe this may be a result of budget challenges. At this time, we don't have enough information to estimate with confidence when the contract will be awarded. As a result, we've removed sales related to this contract from our 2016 sales plan. If we receive the contract in the next several months and funding is available, we could sell some units yet this year. We're also lowering our outlook for the access equipment segment, which I'll talk about in a minute. As a result of these two changes, we are reducing our full-year earnings per share outlook from $3 to $3.40, down to $2.20 to $2.60. The revised outlook now assumes a 13% to 18% reduction in access equipment segment sales. Please turn to slide four for a discussion of our segments starting with access equipment. Access equipment segment performance in the quarter was in line with our expectations. The slowdown in North American replacement demand that started earlier in 2015, continued in the quarter. This slowdown, combined with a significant year-over-year decline in telehandler demand after strong demand in the prior-year quarter in advance of Tier 4 engine emission standards changes, led to a 26% sales decline in this segment in the quarter. We believe our rental company customers remain optimistic about their businesses for 2016, but we now believe they will take a more cautious approach regarding their capital expenditure plans than were previously expected. Many want to confirm that the construction markets in the U.S. gets off to a good start before fully committing to their desired equipment purchasing plans. We did receive solid orders in the quarter as we concluded negotiations with a large number of the national rental companies. These orders provide a solid backlog as we move into the second quarter and support our revised full-year sales outlook for the segment. However, we believe lowering our full-year outlook to reflect an expected, more concerted rental company CapEx outlook for 2016 along with a more competitive market in part due to the continued strong U.S. dollar, is the right thing to do at this time. Market conditions in Europe during the quarter were steady but the weak euro continued to negatively impact sales reported in U.S. dollars. The Latin American market remained weak as Brazil continued to struggle. The market in Australia was largely flat and China was up slightly in the quarter driven by continued product adoption. From an operational standpoint, we significantly lowered production in the quarter compared to the prior-year quarter as discussed on our last conference call. We still expect to reduce our inventory levels by the end of the year with the biggest reduction expected in the second half of the year when demand is seasonally highest. Longer term, we continue to believe this business has a strong future. Expected continued construction growth in the U.S. and product adoption opportunities globally provide a solid foundation for expansion of the global access equipment market. Please turn to slide five for a discussion of defense. The defense team is executing well on its foundational programs. FHTV production continued to ramp back up after the break in production in 2015, while the new multiyear contract was being negotiated. Production of the new contract is expected to continue to ramp up throughout 2016. Work also continued on the FMTV and other domestic programs. FMTV sales were down in the quarter but are also expected to increase as the year progresses. We also shipped more than 200 M-ATVs to the Middle East during the quarter, fulfilling a significant portion of the 273-unit order we received in the fourth quarter of 2015. We still expect defense segment sales results to improve versus 2015 even after removing the large international M-ATV contract from this year's estimates. Turning back to the JLTV for a minute, the energy and excitement around this program is truly amazing. We are executing to the contract requirements and recently held a successful multi-day start of work meeting for this program in Oshkosh, which included more than 100 government personnel. I'm very confident that this will be a highly successful program for Oshkosh and our government customer, but more importantly, for the men and women whose lives these impressive vehicles will protect. We can't wait to get the trucks in the hands of our soldiers and marines. Let's turn to slide six to discuss the fire & emergency segments. We picked up where we left off in 2015 in fire & emergency on a strong note, with higher year-over-year revenues, operating income and operating income margins. As important, Pierce logged another quarter of strong orders contributing to a significantly higher backlog in this segment. While the fire apparatus market has improved, driven by continued recovery in municipal tax receipts and the need to replace aging fleets, Pierce performance and higher share have also been fueled by a string of successful product launches and a team including our dealers, which focuses on the customer. As an example, orders for our new Ascendant two-axle aerial ladder truck continued to exceed our expectations. We introduced the Ascendant at the FDIC show last April, delivering a game-changing product to the fire truck market. And we've been busy with demos and trials ever since. We are pleased with the progress we continue to make with the operational performance in this segment. Pierce's production rate in the quarter increased compared to the prior year, and they plan to increase the production rate again in the second quarter in response to the higher order rate. I'm confident we have the right team employing the right tools to get us back to double-digit operating income margins in this segment. Please turn to slide seven. We continue to see different market dynamics within the commercial segment in the first quarter. The North American refuse collection vehicle market continued its recovery, leading to another quarter of solid year-over-year sales growth. Share gains also contributed to the growth we experienced in this product line. RCV performance has been driven by fairly steady fleet replacement for many of the private waste haulers and our strong position with all the major operators. We expect to see the RCV market grow modestly in 2016 and we expect to grow a little faster than the market. In contrast to the RCV market, the U.S. concrete mixer market continued its cautious wait-and-see tone in the quarter. Concrete mix recording activity picked up later in the quarter, providing some positive signs. Although, there are some areas of strength in high-growth geographies, many customers will likely wait to see how the 2016 construction season is shaping up before fully committing to their new equipment requirements, similar to what we're seeing in the access equipment segment. We continue to believe the North American concrete mixer market has an opportunity to grow in the coming years. The expected U.S. construction growth, the recently passed five-year U.S. Highway Bill and an old fleet, all contribute to our positive longer-term outlook for concrete mixers. I'll turn it over to Dave now to provide a financial update and our outlook for 2016. Please turn to slide eight.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Thanks, Wilson, and good morning, everyone. As Wilson noted, results for the quarter came in largely as we expected. Consolidated net sales for the quarter were $1.25 billion, a 7.5% decrease from the first quarter of 2015. The sales decline was due to 26% lower sales in the access equipment segment, 24% lower on a constant currency basis and a small decline in commercial segment sales. Double-digit percentage sales gains in the defense and fire & emergency segments partially offset the lower sales in the other segments. The access equipment segment sales decline was primarily concentrated in North America, and was driven by the replacement demand slowdown, and significantly lower telehandler sales after strong demand in the prior-year in advance of new Tier 4 engine emission standards requirements. Consolidated operating income for the first quarter was $30.3 million or 2.4% of sales compared to adjusted operating income of $62.3 million or 4.6% of sales in the first quarter of 2015. Results for the quarter reflect the sales decline and significantly lower production compared to the prior-year in the access equipment segment. Improved results in the defense and fire & emergency segments partially offset the lower access equipment segment results. Cost management actions across all the segments and corporate functions also helped offset some of the impact of the lower access equipment segment results. Access equipment segment current quarter results included $1.2 million of restructuring costs related to workforce reductions. Additional information related to segment first quarter financial performance can be found in the appendix to this morning's slide deck. Earnings per share for the quarter was $0.19 compared to adjusted earnings per share of $0.41 in the first quarter of 2015. First quarter results reflected lower sales and earnings in the access equipment segment offset by improved performance in the defense and fire & emergency segments. Current quarter results benefited by $0.05 per share from discrete tax items, most notably the reinstatement of the R&D tax credit late in calendar 2015. Current year quarter also benefited by $0.01 per share from a lower share count as a result of our share repurchase activity over the past year. We repurchased 2.45 million shares in the quarter for $100 million as part of our plan to return approximately half of our free cash flow in 2016 to shareholders. Please turn to slide nine for a review of our updated expectations for 2016. As Wilson mentioned, we are reducing our 2016 earnings per share estimate range from $3 to $3.40 to a range of $2.20 to $2.60, largely reflecting the removal of sales from our defense segment related to the international M-ATV order that we continue to expect to receive and, to a lesser extent, lowering the estimated sales range for the access equipment segment by $100 million at both the low and high ends of the range compared to our previous estimates. As Wilson also noted, if we receive the international M-ATV contract in the next few months and funding is available, we could sell some of these units yet this fiscal year. Partially offsetting the impact of these two changes are lower assumed corporate expenses, a reduction in the tax rate from 34% to 32% largely due to the reinstatement of the R&D tax credit and a lower share count assumption of 74.5 million compared to our prior assumption of 75 million. As a result of these changes, we also lowered our 2016 free cash flow estimate to $275 million from our previous estimate of $350 million. As noted on our last call, we expect earnings will be weighted to the second half of the year. And similar to the first quarter, we expect earnings in the second quarter to be meaningfully lower than the comparable prior year quarter as a result of lower access equipment segment sales, partially driven by continued lower telehandler demand in North America after the Tier 4 engine emission standards change last year and continued lower year-over-year production in the access equipment segment. I'm going to turn it back over to Wilson for some closing comments before we open it up for Q&A.
Wilson R. Jones - Chief Executive Officer: Thanks, Dave. We're certainly disappointed to lower our outlook for the year, but believe it's a prudent action given what we're seeing in our markets. In spite of near-term challenging conditions in some of our markets and a change in the timing of the expected award of the large international contract for M-ATVs, we have an overall positive long-term outlook. I'll turn it back over to Pat now to get the Q&A started.
Patrick N. Davidson - Vice President-Investor Relations: Thanks, Wilson. I'd like to remind everybody, please limit your questions to one plus a follow-up. After the follow-up, we ask that you get back in queue if you would like to ask additional questions. Operator, please begin the question-and-answer period of this call.
Operator: Thank you. Ladies and gentlemen, we will now be conducting a question-and-answer session. Our first question comes from the line of Charley Brady with SunTrust Robinson Humphrey. Please go ahead.
Charles D. Brady - SunTrust Robinson Humphrey: Thanks. Good morning, guys.
Wilson R. Jones - Chief Executive Officer: Hi, Charley.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Hi, Charley.
Charles D. Brady - SunTrust Robinson Humphrey: Let's just jump into access real quick. Can you give us a little more granularity on what you're hearing between the national accounts and the IRCs? And then as a follow-up on that, just on the incremental margin expectation that's embedded in that reduced 10% EBIT margin assumption, can you frame that as to how you've done in prior cycles as to why that might be not a larger decremental than you've seen in the past, given the downtick in the revenue numbers?
Wilson R. Jones - Chief Executive Officer: Sure, Charley, I'll jump in on the NRC, IRC commentary, and then I will let Dave follow-up on the margin question. Discussions have gone well with the NRCs where we are pretty well complete. You saw a good order quarter for us. I would say the order quarter for us was balanced. We had good activity on both the NRCs and IRCs. I think as we said in our prepared remarks, we're hearing a lot of the word cautious. I think there's a lot of wait-and-sees skepticism out there for construction to come out of the ground in the spring. So, that's why we've dialed back a little bit. Our second half forecast was originally flat to last year, which, as you know, was very low. So, we feel like we are in a good position based on the commentary we're having and good activity again, $1 billion of orders in the quarter was positive from our standpoint.
Charles D. Brady - SunTrust Robinson Humphrey: Would you still expect second half to be flat?
Wilson R. Jones - Chief Executive Officer: We're actually forecasting it to be slightly down from last year.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Charley, one thing to consider is our fourth quarter last year was down 17.5% already, so from a comp standpoint, there is a little benefit to consider for the second half of the year. Okay?
Wilson R. Jones - Chief Executive Officer: You want to...
David M. Sagehorn - Chief Financial Officer & Executive Vice President: And on the margin then – sure on the decrementals I guess one thing I'd say is obviously we are not looking at a 2009 or 2010 scenario here. So, I think from a margin standpoint that we're seeing what's implied in the guidance is, let's call it, mid-20% range. I think a couple of things that are going to help us there, MOVE or I'm sorry, the MOVE initiatives that we continue to have there, we talk about product process and overhead continuing to make progress and deliver results from that so that will mute some of the downside pressure on margins. Also, from a mix standpoint, if you look back in fiscal 2015, given the strong telehandler business in the first half of the year, we expect to see a better mix in 2016 than 2015. So that certainly will help as well.
Operator: Thank you.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Thanks, Charley.
Operator: Our next question comes from the line of Jerry Revich from Goldman Sachs. Please go ahead with your question.
Jerry David Revich - Goldman Sachs & Co.: Good morning.
Wilson R. Jones - Chief Executive Officer: Good morning, Jerry.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Hey, Jerry.
Jerry David Revich - Goldman Sachs & Co.: I'm wondering if you could just give us some more color about the potential additional foreign M-ATV opportunities. Given all of the issues in the Middle East, can you talk about the field trials you are doing to the extent that you can comment and just help us get comfort with how much visibility you have on that opportunity maybe beyond 2016?
Wilson R. Jones - Chief Executive Officer: Well, Jerry, we're still optimistic about our opportunities in the Middle East. As we mentioned on our last call, there are several countries that are continuing to look at our products. We actually continue to add a few countries into that mix. As you know, we're not going to try to forecast contracts. It's a difficult time there with budgets, working through new processes. So, we'll tell you the same units that we've been talking about are still in the picture. There is a need there. I was just over there a week ago. And the good news is the M-ATVs that we have there are really performing well. And so that bodes well for our future, but things have slowed down from a budgetary standpoint.
Jerry David Revich - Goldman Sachs & Co.: Okay. And then, to shift gears on the access equipment business, the margin outlook is still pretty good in the context of the pricing comments that you mentioned and the comp line decline. Can you just talk about what have been the positive variances versus your initial guidance that are helping offset those pressures?
David M. Sagehorn - Chief Financial Officer & Executive Vice President: In terms of the outlook for the year, Jerry, or...?
Jerry David Revich - Goldman Sachs & Co.: Yeah, the outlook – yeah, David, the outlook for margins for the year. So considering the comments about pressure on pricing and obviously, the lower volume outlook, it looks like your decremental margins are expected to be better than they were expected to be in the prior outlook. Can you just talk about what's tracking better versus the initial expectations on the cost side?
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Yeah. I just think maybe just to level set here, I think, overall, I think, the decremental margins are largely we believe similar, I don't think we're viewing it as better depending on what point you're looking at in the range there. But overall, again, we continue to make progress and move forward with MOVE initiatives, the product process and overhead that we talked about. There are some material benefits that we're going to experience. That's also helping offset some of the more competitive environment that we're seeing out there.
Jerry David Revich - Goldman Sachs & Co.: Okay. Thank you.
Wilson R. Jones - Chief Executive Officer: Thanks, Jerry.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Thanks.
Operator: Thank you. Our next question comes from the line of Ann Duignan from JPMorgan. Please go ahead with your question.
Ann P. Duignan - JPMorgan Securities LLC: Yeah. Hi. Good morning. Two questions around access. Number one, you have said the last couple of quarters that you believe that the industry was just in the mid-cycle slowdown. That comment was conspicuously absent today, so I'd like you to comment on that. And then, as a follow-up, telehandlers were a favored product in the oil and gas space, with the number of idled rigs out there right now, can you talk about utilization rates in telehandlers and whether that could weigh on the back half of your 2016 outlook?
Wilson R. Jones - Chief Executive Officer: Sure Ann. We do see this as a slow down. We're talking cautious CapEx coming out of our customers, when you look at the replacement issue that's what we talked about several quarters knowing that there weren't a lot of machines purchased in 2009, 2010. So, we really see this as a slow down. If you look at the fundamentals, construction spending is forecasted to go up, utilization right now, I know the rental companies will say that it's not great but it's not bad, especially on our product categories. The Rouse data I believe has boomed to 70% utilized and telehandlers just under 80%. So fundamentally not great but it's not totally bad either. So to your telehandler question, the back half of our last year, you saw us go down significantly. That was a lot of the oil and gas redeployment. So majority of the machines that we sold in the back half of the year were not to oil and gas customers. They were outside of that. So looking at our forecast going forward in this year, we believe our revised forecast covers all of the machines that we had last year around oil and gas, again, they are not in there. So anything we'd get would be upside to our forecast and the big telehandlers are what they use on the oil and gas sites, so the smaller telehandlers related to housing are pretty good markets right now. Again, we had that big first half last year with telehandlers, so the comparables don't look as good but those products are being utilized in a pretty significant way.
Ann P. Duignan - JPMorgan Securities LLC: Okay. And just on the redeployment, I mean, we have seen rig counts decelerate again conspicuously coming into 2016. Is there a risk that we have to go through more redeployments going forward?
Wilson R. Jones - Chief Executive Officer: I think there may be some, Ann, but the significant redeployment was done last year.
Ann P. Duignan - JPMorgan Securities LLC: Okay. I'll leave it there. Thank you for the color. I appreciate it.
Operator: Thank you. Our next question comes from the line of Eli Lustgarten from Longbow. Please go ahead with your question.
Eli Lustgarten - Longbow Research LLC: Thank you. Good morning, everyone.
Wilson R. Jones - Chief Executive Officer: Hi Eli.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Good morning.
Eli Lustgarten - Longbow Research LLC: You took guidance down by $0.80 or so, can you give us a rough idea of how that shapes up? I mean, my back-of-the-envelope analysis says it's three-quarters because of the lowered defense shipments in the quarter because of the slightly lower access shipments in market. Is that about right or is that what we're looking at?
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Directionally, I would say, yes, Eli. If you look at between lower corporate expenses, change in the tax rates and the share count, that comes pretty close to offsetting the impact of what's changing in access. So really it comes down to the timing issue on the defense sales as the main driver.
Eli Lustgarten - Longbow Research LLC: You mean, you took $400 million out of your defense number, and cut the margin almost in half or so, that talks to the relative profitability of that potential international defense order if it does come. Is that a fair way of describing it?
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Yeah. We're not going to get into the specifics of profitability on individual products or orders. But historically, we have talked about the M-ATV being our highest margin product in the defense segment.
Eli Lustgarten - Longbow Research LLC: Yeah. And then second question, in the access numbers, I guess, a surprise, because you beat most of the estimates, is that the access business actually performed better in the first quarter than we had anticipated. I think most of us expected a bigger takedown or a bigger hit. Was there any reason why you just didn't take more of the production out in the quarter? I mean, just so you know, I think I expected a much sharper decline in the production numbers, or is that the orders turned out to be somewhat better in access in the first quarter than you expected?
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Well, the plan was to take about 30% of production out year-over-year in the first half of the year, Eli. And that's largely what we did in the first quarter. Actually, earned hours were down a little more than 30% in the quarter. We do work with a workforce that always has a certain level of contract employees and we flex those out during the quarter. With our permanent employees, we went through a series of shutdown weeks in the quarter, but we do know that when you get into the seasonally busy part of the year, you are going to need those employees. So you kind of have to balance how much you take out of production in a given quarter in light of the whole full year requirements.
Eli Lustgarten - Longbow Research LLC: So, you're expecting second quarter access results to be somewhat weaker than the first quarter access results. Is that a fair way of describing it?
David M. Sagehorn - Chief Financial Officer & Executive Vice President: From a production standpoint?
Eli Lustgarten - Longbow Research LLC: From both the production standpoint and actual reported sales and earnings standpoint.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: No. We actually expect sales sequentially to be up in the second quarter.
Eli Lustgarten - Longbow Research LLC: The production...
David M. Sagehorn - Chief Financial Officer & Executive Vice President: On a first half – or first quarter we were down 26%. I think on a first half basis percentage change year-over-year will be down closer to around 30%. So a little bit more of a decline year-over-year in the second quarter than in the first quarter.
Eli Lustgarten - Longbow Research LLC: That's what I was referring too.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Okay, I'm sorry, I misunderstood...
Eli Lustgarten - Longbow Research LLC: Yeah. And, so, (28:46) weakness and then the second half is much easier comps and better profitability, I guess.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Right and better seasonality as well.
Eli Lustgarten - Longbow Research LLC: Right. Thank you.
Wilson R. Jones - Chief Executive Officer: Thank you, Eli.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Thanks.
Operator: Thank you. Our next question comes from the line of Jamie Cook from Credit Suisse. Please go ahead with your question.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Hi. Good morning. Two questions. One, Dave, could you just provide an update on how you think about inventory levels as we exit 2016? I know your goal is to make progress on the AWP side, so can you talk about what progress you made there and how we think about it as we exit 2016 and also the same on defense? I know you were building there. And then the last question back to the international M-ATVs, I know too you guys were alluding to potential for a couple thousand in awards by the end of 2016, which would help bridge the gap until we got to the JLTV production. Can you talk about how we should think about the push-out in that? And when you talk about longer-term optimism in M-ATVs, is it more relying on the one customer that's delaying things or just incremental customers that have come in, that are interested in the product? Thank you.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Okay, we'll get started on those questions.
Wilson R. Jones - Chief Executive Officer: One plus a follow-up.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: In terms of the inventory, Jamie, inventories ended the quarter about like we thought they were. From an access standpoint, we are on track and still planning to reduce inventories year-over-year in that segment. However, as we said previously and we'll continue to say, we aren't going to see meaningful reduction in access inventories until the second half of the year where we get into the seasonally stronger part of the year. So we are taking production down significantly year-over-year in the first half of the year, but sales are also down. So we'll see that in the second half of the year. As we ended the quarter here, you saw Fire & Emergency, actually, their inventories ticked up in the quarter as they are expecting a bigger sequential quarter in the second quarter. And then also Commercial inventories ticked up as well as they get ready for the start of the construction season in the South. And that's typically what we see out of that segment as well. So overall I would say we're on track for our inventory target for year to take down inventories in Access, and the other segments are I think...
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): What about Defense, sorry?
David M. Sagehorn - Chief Financial Officer & Executive Vice President: I'm sorry.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Defense?
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Defense?
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Yes.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: With Defense we thought previously that we were going to have a higher inventory in the Defense segment as it related to the timing of the M-ATV contract award that we thought we would have. That's going to push out now. However, what we have seen is a slowdown in terms of payments from our customers internationally. And I've heard other companies talking about this as well. So we think that will result in us having a little higher receivables vis-à-vis where we previously thought in the Defense segment at the end of the fiscal year.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay. And then...
Wilson R. Jones - Chief Executive Officer: Jamie, I'll jump in on the M-ATV question. You and I talked a little bit about this at your conference. If you don't mind, I'm going to share a little more detail with you about why this contract is not here and we're moving it out.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Great.
Wilson R. Jones - Chief Executive Officer: I think you know we've been delivering four contracts. We're in the process of completing the fourth contract with this one customer and this has been about two year, two-and-a-half year adventure. We've delivered a little over 500 M-ATVs. This fifth contract that we're talking about here today was progressing along the same process and procedures as the previous four. We had concluded negotiations of the contract, we got basically a letter of intent, we opened up the performance bond, and so the normal timeframe we would have had this contract sometime in mid-to-late fall, November, December timeframe. So I think at your conference we shared with you that we thought that we would have that. Well it didn't come in, in the December. So I just got back from over there. We went over first part of January and what we found out, I'm sure everyone knows the news wise, there are some budget concerns throughout the Middle East with the price of oil. So what we learned is late in the calendar fourth quarter they froze their budgets. Now that wasn't communicated. So when we learned of that news, we started learning a little bit more about the process and what we found is that they've added a revalidation process around their spending. So we couldn't determine on our trip where we were in that revalidation process, other than we were communicated that we were definitely in there. So again, contract's been negotiated, we have a letter of intent, we have a performance bond. That's why we were counting on having this in place, because that's the normal process that we followed in the first four contracts. So not knowing where we were on the revalidation process, we just were not comfortable in keeping these trucks in our forecast for the year, so we've moved them out now. Now just from my visit over there I can tell you, the interest is still very strong. I met with people on the operational level up through budget and planning. And our trucks are performing well. They really like the M-ATVs, and there's a definite need there to mechanize their infantry core. So all indications are we're going to receive this contract. It's just working through this new process and matching up the contracts with funding that we're not comfortable in trying to forecast when we're going to receive that. So in regards to that, the push-out we believe the units are still there, but obviously as these have moved out, we would assume the other contracts are going to move out too with this customer. I mentioned earlier that we do have some more interest in other customers. I am not going to try to quantify that today other than we are optimistic about the opportunities in the Middle East. But I think we have to be a little guarded with that because it's very difficult to forecast the timing of these contracts with what they're going through over there with oil pricing.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): All right. Thanks. I'll get back in the queue.
Wilson R. Jones - Chief Executive Officer: Thanks Jamie.
Operator: Thank you. Our next question comes from the line of Ross Gilardi from Bank of America Merrill Lynch. Please go ahead.
Ross P. Gilardi - Bank of America Merrill Lynch: Hey, good morning, gentlemen.
Wilson R. Jones - Chief Executive Officer: Hey, Ross.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Good morning.
Patrick N. Davidson - Vice President-Investor Relations: Good morning.
Ross P. Gilardi - Bank of America Merrill Lynch: Hey, I just want to know, could you give us an update on this Lockheed injunction that's been in the press and are you moving full steam ahead with – not full steam ahead but with your preliminary production plans on JLTV while that's still pending and any color you can give there on timing on when you'll know more?
Wilson R. Jones - Chief Executive Officer: Sure, Ross, and we are moving full steam ahead. We have a start-to-work release from the government. We had a start-to-work program. A little over 100 of the JLTV government team came in. Both groups met, had a really nice working week, everyone was working well together. So we're progressing with all the work and working to stay on our schedule. Where we are with the protest, you'll probably recall, Lockheed was at the GAO right before the GAO was going to render their decision. They pulled out of GAO and went to the Federal Court of Claims. We had a hearing last week – initial hearing on the preliminary injunction request that Lockheed had made. So the judge has all that information from the briefings, and we expect him to rule on that on around first part of February is what we've been told. So if not tomorrow, we're thinking maybe next week we should hear some type of ruling from this judge. From there if there is no preliminary injunction, obviously, we'll keep going. If he does rule on a preliminary injunction, then obviously that would be a stop-work for us. And then what we have been told is the normal timeframe for this to work through and the suit to be settled is anywhere from 90 to 120 days. And so we're looking at late spring, May-June from a initial timeframe that we understand today. But the first step is to understand where the judge is on this preliminary injunction, which we hope to find out in the next few days.
Ross P. Gilardi - Bank of America Merrill Lynch: Got it. Thank you. That's helpful. And then, clearly, there have been a lot of data points about softer used equipment prices out there in the kind of overall equipment markets. What are you seeing on used pricing on the Access Equipment side?
Wilson R. Jones - Chief Executive Officer: Well, Ross, we follow the Rouse data and used prices they're not great, but they're not bad. I would say they're kind of in the middle. We follow that closely. Our used business is doing okay. I wouldn't say it's anything significant that we would talk positive or negative about.
Ross P. Gilardi - Bank of America Merrill Lynch: So if there was any price erosions, it kind of sounds like it's kind of in line with what we're seeing in the overall index data. Is that a fair way to look at it?
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Yes, yes.
Wilson R. Jones - Chief Executive Officer: That's fair.
Ross P. Gilardi - Bank of America Merrill Lynch: Yes, okay. Thank you.
Operator: Thank you. Our next question comes from the line of Mig Dobre from Robert Baird. Please go ahead.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Hey. Good morning, everyone. Dave, I'm wondering if you can frame our expectations for second quarter earnings somehow. You were talking about meaningfully lower. Any sense as to what that means?
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Yes. Mig, we aren't going to quantify, I guess, what I would say directionally, and the largest driver is going to be the Access Equipment segment. So for the first half of the year we think Access is going to be down around 30%. And in the first quarter we saw it down 26%, so a little bit more down year-over-year. And from a margin profile standpoint, I think the incremental margins shouldn't be that different from what we saw in the first quarter for that segment.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Okay.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: As I mentioned earlier, we do expect to see a little bit higher sales in Fire & Emergency. I think Defense is probably going to come down a little bit sequentially, and Commercial should be up sequentially given that it's, again, going to be the start of the construction season in the South.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Okay. I appreciate that and then my follow-up, going to Defense again, obviously, there's been a pretty big move not only in the top line but also in the margin. How comfortable are you with your margin guidance in Defense at this point given that you've taken a pretty healthy margin product out of your guidance at this point?
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Yes. The Defense team has worked pretty hard on taking a look at that, Mig. And at this point, we think we're comfortable with the margin guidance that we have given for this segment for the year.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Any way to frame the risk? I'm sorry...
David M. Sagehorn - Chief Financial Officer & Executive Vice President: The risk, from a sales standpoint, we've got almost the full-year guidance. In backlog, we're very close, north of 90% on that. So it would really have to be on a performance or execution side. And the team performed well. I think you saw that in the first quarter in terms of the improved performance in Defense results coming off of the trough in 2015. So I don't see a significant margin risk at this point in the Defense segment for the year.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Thank you.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: You are welcome.
Operator: Thank you. Our next question comes from the line of Ted Grace from Susquehanna. Please go ahead.
Ted Grace - Susquehanna Financial Group LLLP: Good morning, guys.
Wilson R. Jones - Chief Executive Officer: Hi, Ted.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Hi, Ted.
Patrick N. Davidson - Vice President-Investor Relations: Good morning.
Ted Grace - Susquehanna Financial Group LLLP: The first one we wanted to ask is on free cash. I know you took the guidance down by about $75 million and it looks like just the change in profits would account for about $60 million. I guess we're thinking that the international M-ATV order would have been a bigger drag on working capital, and in light of the fact that getting pushed out, I was just wondering if you could bridge us on all the kind of puts and takes within the revised free cash guidance?
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Sure. You are right, Ted. The other component, as I mentioned is, we have seen a slowdown in payment from our international customers. They are still paying but it is taking longer and the assumption that we made is that we're going to see higher receivables on some of the existing contracts that we do have internationally at the end of the year.
Ted Grace - Susquehanna Financial Group LLLP: So is there any segment in particular? Would that be mostly Access Equipment customers?
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Mostly Defense.
Ted Grace - Susquehanna Financial Group LLLP: Mostly Defense, okay, great.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Yes.
Ted Grace - Susquehanna Financial Group LLLP: And then the second thing we were hoping to ask is just as it relates to the revised guidance in Access Equipment, can you maybe just talk about kind of what the underlying expectations or the revision is in the U.S. versus Europe or elsewhere. Were there offsets to kind of the more cautious outlook on the U.S. in the short term? And I guess the orders in the first quarter were really strong. So congrats on that, much better than we were looking for. Could you just maybe help us frame expectations for what second quarter orders should look like? Whether you expect a normal seasonal progression or whether it could have been kind of a pull forward? Any dynamics like that would be really helpful.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Sure. Ted, I'll take the question on change in guidance and I'll let Wilson address the rest of it. But overall, as we looked at the change in guidance, and that's largely North America-centric or concentrated in North America. As we look out more globally, we still think Europe is holding up well. As Wilson mentioned, currency hasn't done us any favors in terms of translating sales. But overall demand is still there. Again, that was a region that did not recover as quickly as we saw in North America. And we have consistently heard about very old equipment there that does need to be replaced. So I think that's helping somewhat. But really the decrease in the outlook for the year is focused around the increased caution that we expect to see from the North American rental companies in 2016.
Wilson R. Jones - Chief Executive Officer: And just to follow that, Ted, the caution that Dave is talking about is what we're going to go through these first three months of the calendar quarter. You're hearing a lot of rental companies talk about they're going to wait and see what comes out of the ground from a construction standpoint in the April-May-June timeframe. So we're not expecting this quarter to be as robust with orders as last quarter.
Ted Grace - Susquehanna Financial Group LLLP: Okay. Well, that's helpful, guys. Best of luck this quarter.
Wilson R. Jones - Chief Executive Officer: Thanks.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Thank you. Our next question comes from the line of Rudy Hokanson from Barrington Research. Please go ahead.
Rudy A. Hokanson - Barrington Research Associates, Inc.: Thank you. This is on an issue you have been talking about, it has to do with the M-ATV orders to the Middle East. On the issue of their budgets and the spending plans that they have and what's been going on in the oil markets, and I know this is difficult for you to know what's going on inside of their heads. But could this be something that just continues to be prolonged as they try to balance their budgets within their countries in terms of their support of their social structure as well as their balance of payments? Is that what's going on right now, and not really just a matter of, oh, we have a different maybe timing issue on this? I mean that this could be part of a larger issue for the individual countries as they look at everything going on with the world of oil right now.
Wilson R. Jones - Chief Executive Officer: Yeah, Rudy, you're asking a lot of the questions that we've been really working on, and so we've travelled around the Middle East. What I would tell you is there is an urgent need to mechanize infantry corps (45:21) over there. You see the same headlines that we do. There's a lot of stuff going on right now in the Middle East in terms of conflict. So what we're doing with is, new processes that are being put in place is revalidation. So I think the timing is what we're going to struggle with. The need is there, we're performing well. So they've just started mechanizing. They've got a long way to go and there are several countries that are in that same frame. So we don't see it as a really prolonged not-going-to-happen issue. We believe that it is going to happen, but it just has some new processes and the timing is very difficult to forecast.
Rudy A. Hokanson - Barrington Research Associates, Inc.: Okay. That was my primary question. Thank you.
Wilson R. Jones - Chief Executive Officer: Thank you.
Operator: Thank you. Our next question comes from the line of Stanley Elliott from Stifel. Please go ahead.
Stanley Elliott - Stifel, Nicolaus & Co., Inc.: Hey, good morning, guys. Thank you for taking my question. A quick question on the concrete mixers. So it's two quarters down. Historically, has there been any delay around purchasing ahead of some of the major trade shows that are coming up later this spring?
Wilson R. Jones - Chief Executive Officer: No, Stanley, I don't think we've ever seen any type of bubble like that. Every now and then we're on a price increase. You'll see people pre-buying. We believe right now from a concrete mixer standpoint with chassis availability so good, I mean, you can get a commercial chassis really quick right now. We believe the ready-mix customers are just going to wait and see how the markets pick up, and knowing that there's capacity and they can get some trucks pretty fast. And we have seen a pickup in our front discharge mixer business. That's a longer lead time item. And so we are seeing some good order activity there, which leads us to believe that there are people out there planning on a positive way to pour concrete this spring.
Stanley Elliott - Stifel, Nicolaus & Co., Inc.: Perfect. And switching gears, what's the timeframe again to get to the double-digit margins on the fire & emergency business?
Wilson R. Jones - Chief Executive Officer: Well, we haven't put a year timeframe on it, Stanley. I think if you talk to the fire & emergency team, they would tell you we talk about that every day to them, that's a firm goal and we know they've been there before and we'll get them there. I will say that they're making progress a little faster than we expected. So I mentioned we're taking the rates up again. They've got a great backlog. And, again, I'm confident that they are moving in the right way to get to that double-digit margin, but I'm not comfortable today telling you a date.
Stanley Elliott - Stifel, Nicolaus & Co., Inc.: Fair enough. Thanks, guys.
Wilson R. Jones - Chief Executive Officer: Thanks to you.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Thanks.
Operator: Thank you. Our next question comes from the line of Seth Weber from RBC Capital Markets. Please go ahead.
Seth R. Weber - RBC Capital Markets LLC: Hey. Good morning, everybody.
Wilson R. Jones - Chief Executive Officer: Hey, Seth.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Good morning.
Seth R. Weber - RBC Capital Markets LLC: I just wanted to go back to actually Ted's question about – I'm trying to reconcile the $1 billion of access equipment orders in the quarter versus the cautious CapEx commentary from your customers. I'm just trying to connect the dots here. I mean, was there a change in order pattern or is there something going on from a pricing perspective? The orders were stronger than I would have thought, kind of, given your end market commentary and given the commentary that we've heard from one of your customers last night. So are the orders coming from Europe or are they coming from smaller customers? I'm just trying to – if you could add any more color there it would be helpful.
Wilson R. Jones - Chief Executive Officer: Well, I guess, Seth, I'd say it's balanced orders. Good activity on both the IRCs and the NRCs. I wouldn't say that it's anything big. From an optimistic standpoint, I think, there are people that have different accounts that they're getting in line and getting geared for the projects. So I don't really think the $1 billion orders is something of significant note. I'll say that the cautious approach is there. When you look at the annual agreement negotiations that we've been through, none of the NRCs are giving us a full year look of what equipment they need. They're giving us more of a short-term look. So, again, we believe that's why a revised forecast is in good shape for the second half because we don't have all those equipment needs from the NRCs in our hands yet.
Seth R. Weber - RBC Capital Markets LLC: Was the order board disproportionally – did anything change from a regional perspective, or it's pretty consistent relative to what you saw last year?
Wilson R. Jones - Chief Executive Officer: No, I would say it was consistent with what we saw last year. Obviously, not as many telehandlers, but pretty consistent.
Seth R. Weber - RBC Capital Markets LLC: Sure. And is there anything going on with pricing with respect to some foreign competitors, or there's obviously – you've talked about having access inventory, is there anything that's going on with the pricing getting more aggressive?
Wilson R. Jones - Chief Executive Officer: Yeah. I mentioned that in my prepared remarks, Seth, that we are seeing an increase in that where the strong dollar is working against us. Keep in mind, and you know the access market very well, they're small compared to us, but we are seeing that come into play more frequently. And that's why we mentioned it. And we do believe through our O initiatives, product process, overhead focus that we can counter that. And that is included in our revised forecast.
Seth R. Weber - RBC Capital Markets LLC: Okay. And if I could ask a follow-up on the defense business margin; I guess, the implied margin for the balance of the year is something in the low single-digit range, 3%, 3.5%, something like that, is that what we should consider to be a steady state kind of number exclusive of any additional M-ATV orders, et cetera. And will you start to incur additional expenses going forward for the JLTV that could pressure that number further, assuming no additional contracts.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Yeah. Seth, I think what you're seeing in the year is already reflecting some of the activity that we are doing around the JLTV program and we're doing some things on our own related to that program that will largely be concentrated in this year. So I would characterize your implied 3%, low 3% as being below what a run rate for that business would be on a more longer term, assuming it was just a domestic business.
Seth R. Weber - RBC Capital Markets LLC: Okay, that's very helpful. Thank you very much.
Wilson R. Jones - Chief Executive Officer: Thanks, Seth.
Operator: Thank you. Our next question comes from the line of Charley Brady from SunTrust Robinson Humphrey. Please go ahead.
Charles D. Brady - SunTrust Robinson Humphrey: Just to follow up again on the JLTV, is there any material impact if you don't get the injunction – or if injunction stands for the stop work order on JLTV and you can't continue to work for a few more months, does that impact the guidance on defense at all?
Wilson R. Jones - Chief Executive Officer: Just if at the – I guess, if it's say, Charley, the fringes. When we used the approximate I would say that we could largely cover that I'm guessing through other opportunities out there.
Charles D. Brady - SunTrust Robinson Humphrey: Okay, thanks.
Wilson R. Jones - Chief Executive Officer: You're welcome.
Operator: Thank you. Our next question comes from the line of Mike Shlisky from Seaport Global Securities. Please go ahead.
Michael David Shlisky - Seaport Global Securities LLC: Good morning, guys.
Wilson R. Jones - Chief Executive Officer: Good morning, Mike.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Good morning, Mike.
Michael David Shlisky - Seaport Global Securities LLC: Can you maybe perhaps – I think you had mentioned in the access equipment that China was actually up slightly in the quarter, could you maybe bracket for us how do you feel about – I know it's somewhat small for you guys, but how do you feel about the rest of the year for that business in China for the overall market as well as for how you are doing there. And actually perhaps the same question for LatAm as well?
David M. Sagehorn - Chief Financial Officer & Executive Vice President: What was the last part of that, please?
Michael David Shlisky - Seaport Global Securities LLC: And also the same question for Brazil as well.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Oh Latin America, okay. Thanks.
Wilson R. Jones - Chief Executive Officer: I would say there is not a lot to talk about Brazil, Latin America, that there is just not a lot of activity going on there. So I wouldn't say we're optimistic about the year there. But China, overall, Asia, that's a good story for us, Mike. Adoption is starting to occur. We've got some safety regulations that are being enforced. We've got the productivity case we can make now, as labor rates have increased. So we're seeing good progress there. But keep in mind, we're coming up from a low base. But the good news is the market is becoming more and more receptive in adopting aerial work platforms.
Michael David Shlisky - Seaport Global Securities LLC: I guess, I was kind of wondering if you'd give us some kind of range as to how you feel that market is going as well as LatAm. Are you talking about like that's an up double-digit number for the year for China and down double-digit for LatAm or is it more closer to flattish in both of those regions based on what you know today...
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Yeah...
Michael David Shlisky - Seaport Global Securities LLC: ...excluding currencies?
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Okay. We'll start with Latin America. So that was down significantly last year, Mike. And Wilson referenced Brazil, and obviously that's the big player in that market. There are some bright spots overall down there, but just the magnitude of Brazil kind of trumps everything. Given that it was down significantly last year, we think it's going to be flattish to down a little bit on a full year basis in 2016. China market, we think will continue to grow. At this point, I don't know whether it's going to be the growth rates that we saw in the last few years, but it should still be healthy growth, largely because it's coming off such a small base. And again, this is an adoption story in China, not necessarily utilization. So it's a different story than you see with dirt equipment in China.
Michael David Shlisky - Seaport Global Securities LLC: Great, guys. Thanks so much.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Thank you. Our next question comes from the line of Mig Dobre from Robert Baird. Please go ahead.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Hey. Thanks for taking my follow-up. When you look at your customers, whether it's access or the concrete mixers, that operate in the areas that do not have much oil and gas exposure, is there a difference to be drawn between them and the folks that do have that exposure, or do you see the same hesitancy for them as well in terms of equipment purchases?
Wilson R. Jones - Chief Executive Officer: Definitely a difference, Mig. Outside oil and gas, customers are pretty positive. You probably heard some of the comments from some of the other oil companies that are talking about that, it's definitely different than the companies that are around oil and gas.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Are those guys increasing CapEx or spend with you then, is that a fair characterization?
Wilson R. Jones - Chief Executive Officer: Yes. I would say, they are increasing.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Okay. Thank you.
Wilson R. Jones - Chief Executive Officer: Thanks, Mig.
Operator: Thank you. Our last question comes from the line of Steve Barger from KeyBanc Capital Markets. Please go ahead.
Steve Barger - KeyBanc Capital Markets, Inc.: Hi. Good morning, guys.
Wilson R. Jones - Chief Executive Officer: Hi Steve.
Steve Barger - KeyBanc Capital Markets, Inc.: I just want to make sure I understand, you talked about customers waiting to confirm solid 2016 construction activity, is that stemming from an expected slowdown in project starts that people are seeing right now, or more from people seeing the energy slowdown and just kind of extrapolating out or wanting to be more cautious in terms of spending?
Wilson R. Jones - Chief Executive Officer: Yeah, I think it's the latter, Steve. What we're hearing is, there's a lot of activity out there with projects. You know you see the construction growth numbers, they are positive. They know there is some capacity and that they have the ability to wait a little bit just to get past that initial skepticism, but I think that's more the case than what you mentioned earlier.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: And Steve, I think last year I think some customers got bit a little bit given we don't like to talk about weather, but last year they certainly did have an impact on job starts and then the replacement or redistribution of equipment in oil and gas, so I think to Wilson's point that's driving the cautiousness.
Steve Barger - KeyBanc Capital Markets, Inc.: Got it. And I know you had some minor restructuring charges in access in the quarter, given the expected 30% decline in the first half, do you need to take more of that and I guess more importantly, how difficult would it be to flex capacity up if the spring actually shows better activity?
Wilson R. Jones - Chief Executive Officer: In terms of additional cost reductions, obviously we are going to look for ways to tighten our belts, but we don't want to sacrifice customer service being able to put product out there. So we'll continue to look at things but right now nothing is in the works. In terms of flexing back up, that'd be a great challenge to deal with. And I'm sure the access guys are thinking about that, because it could, I mean, if we do see a positive spring, there could be upside out there. The biggest challenge associated with that will be the long lead time items and that's something we're going to have to monitor as we go forward here into the spring.
Steve Barger - KeyBanc Capital Markets, Inc.: What are those long lead time items?
Wilson R. Jones - Chief Executive Officer: There are various components. I mean we're not going to get into the specificity around what they are. I think you can probably guess it's the more complicated items generally associated with a piece of equipment like that.
Steve Barger - KeyBanc Capital Markets, Inc.: Understood. Thanks.
Wilson R. Jones - Chief Executive Officer: Thank you.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Thanks, Steve.
Operator: Thank you. Ladies and gentlemen, we have no further questions in queue at this time. I would like to turn the floor back over to management for closing remarks.
Wilson R. Jones - Chief Executive Officer: Thank you for participating on our call today. We appreciate your interest in the Oshkosh Corporation. Have a good day, everyone.
Operator: Thank you, ladies and gentlemen. This does conclude our teleconference for today. You may now disconnect your lines at this time. Thank you for your participation and have a wonderful day.